Operator: Good day, ladies and gentlemen, and welcome to the MSCI fourth Quarter and Full-year 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, where we will limit participants to one question and one follow-up. Further instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the call over to Mr. Andrew Wiechmann, Head of Investor Relations, Strategy and Corporate Development. You may begin.
Andrew Wiechmann: Thank you, Victor. Good day, everyone. Welcome to the MSCI fourth quarter and full-year 2018 earnings conference call. Earlier in this morning, we issued a press release announcing our results for the fourth quarter and full-year 2018. A copy of the release and the Slide presentation that we have prepared for this call may be viewed at msci.com under the Investor Relations tab. Let me remind you that this call may contain forward-looking statements. You are cautioned not to place undue reliance on forward-looking statements, which speak only as of the date on which they are made and are governed by the language on the second Slide of today's presentation. For discussion of additional risks and uncertainties, please see the risk factors and forward-looking statements in our most recent Form 10-K and our other SEC filings. During today's call, in addition to results presented on the basis of US GAAP, we also refer to non-GAAP measures, including but not limited to financial measures, excluding the impact of foreign currency, adjusted EBITDA, adjusted EBITDA expenses, adjusted EPS, and free cash flow. We believe our non-GAAP measures facilitate meaningful period-to-period comparisons and provide insights into our core operating performance. You'll find a reconciliation to the equivalent GAAP measures in the earnings materials and an explanation of why we deem this information to be meaningful as well as how management uses these measures on pages 23 to 27 of the earnings presentation. We will also discuss organic run rate growth figures, which exclude the impact of changes of foreign currency and the impact of any acquisitions or divestitures. On the call today are Henry A. Fernandez, our Chairman and CEO; Baer Pettit, our President; and Kathleen Winters, our Chief Financial Officer. With that, let me now turn the call over to Mr. Henry Fernandez. Henry?
Henry Fernandez: Thank you, everyone for joining us today. I hope that you are all staying warm in this frigid weather. The volatility of the US market over the last several months gave us the opportunity to demonstrate the resiliency of our diversified business model and the effectiveness of our capital allocation strategy, all of which have shown tremendous strength. I would like to spend a few minutes shedding some light on how we have managed through this recent market volatility. First and very importantly, across almost all areas over MSCI, we have seen little to no impact. Despite the elevated market uncertainty, we have seen continuous trends in the selling environment across client segments with no noticeable changes to client behavior, which is reflected by the fact that we drove our second highest quarter ever of both recurring sales and recurring net new sales as well as our highest quarter ever for index sales and one-time sales. In addition, we witnessed relatively low cancels and our highest Q4 retention rate ever, coupled with the strong payment behavior from our clients, which accelerated our receivables collection efforts and generated record free cash flow. This strength and resiliency was fairly consistent across all regions of the world in which we operate. Even though, many international markets have been in a sustained period of market pullback and volatility for as long as 10-months. Furthermore, after relatively soft cash inflows in Q3, we have seen fairly healthy inflows in Q4 into ETFs linked to MSCI indices. There has been about $31.7 billion of total inflows since Q3 through last Friday, January 25. AUM equity aimed equity ETFs linked to our indices are now back to over $740 billion. On the other hand, this volatile environment has put tremendous pressure on the evaluation of ETFs linked to our indices. In Q4 we saw nearly 95 billion of negative market movement on the level of AUM in ETFs linked to MSCI indices, which was driven by the market sell-off and compounded by the appreciation in the US dollar. Conversely, we saw tremendous volumes in listed futures and options contracts based on our indices. With a 27% growth quarter-over-quarter in contract volume. As we have indicated in the past, this is an area of significant focus by MSCI and tremendous potential. On a particular note, our continued discipline on the capital front, including the opportunistic financing transaction we did in May and the modest level of repurchases during the benign environment earlier in the year allowed us to take full advantage of the recent volatility and repurchased $755 million of shares since the beginning of October and through January 25th. This is a clear demonstration of the confidence and belief that we have in our business model and the franchise of our company. Well, we are only about 4 months into this period of market choppiness in the U.S. Let us remind ourselves the developed markets outside of the U.S. and for sure emerging markets have been under significant pressure for most of 2018. Our recent successes highlight the outstanding resiliency of our business model and our franchise the differentiate and mission critical nature of our solutions as well as the strong secular tailwinds that are propelling many parts of our business. The MSCI franchise remains incredibly strong and getting stronger. The Q1 pipeline looks pretty healthy. The rest of the year pipeline also looks pretty healthy, and we feel confident about our prospects in 2019. We all look forward to providing additional insights and perspectives into the strength of our franchise and the significant opportunities ahead of us during our Investor Day on Thursday, February 28th. Let me turn the call over to Baer now, to talk some more about how we are executing and how we are continuing to fund that significant growth of opportunities that we have. Baer?
Baer Pettit: Thank you, Henry. I am pleased to share with you some key accomplishments we achieved in Q4, driven by the consistent execution of our strategy and supported by our diversified business for all weather franchise. A large focus for us over the last several years has been enhancing our internal capital allocation processes to allow us to effectively allocate resources and ensure we are concentrated on high-return growth initiatives, increasing speed to market with new products, enhancements to existing products, and improvements in our technology. We have established the systems and processes to rigorously measure and track our investments. Which has enabled us to drive growth by allocating our resources to the most strategic and highest return areas. We have focused on driving efficiencies and scalability in our cost base, utilizing the most recent technologies and continuous expansion of our emerging market talent base. Additionally, we have been expanding the portion of our expenses allocated to growth initiatives affording us the ability to enhance our value proposition and provide our clients with the right tools to manage their portfolios during these volatile times. We have been keen on ensuring that we have a balanced portfolio of short-term high return projects as well as longer-term strategic bets that will fuel growth in different markets and time horizons. The success we have had on this front is clearly evidence within index in the most recent quarter, where we delivered a 11.4% subscription run rate growth, 16.9% growth in recurring sales for the fourth quarter, and 18.5% for the full-year. This quarter marked the 20th consecutive quarter of double-digit subscription run-rate growth. Our growth is increasingly fuelled by the areas we have been investing at. In the fourth quarter, the subscription run-rate growth of our ESNG factor custom and specialized index modules was 20% and sales of these modules represented approximately 30% of new sales for the full-year, compared to 19% for 2015, showing our ability to generate new sales within the index segment. Similarly, $12 billion or close to half of the Q4 in flows into the ETFs based on our indexes or into funds based on our factor at ESNG indexes. Furthermore, 30% of total sales for full-year 2018 were to wealth managers and broker-dealers as compared to 23% of sales and full-year 2015 helping drive some acceleration in the subscription run-rate growth. All of these index areas are benefiting from the resources of the entire MSCI franchise, and these key growth areas were built through very deliberate in targeted investments in new content, the build out of our client coverage team across new client segments, geographies, and use cases, and proactive engagement with our clients and industry participants. Enhancements and investments to our data and technology infrastructure were required and have enabled continuous improvements to quality accessibility and scalability. With continued investments in areas such as ESNG research and factor analytics, our index offerings have been the clear beneficiary of our strategic bets across multiple products segments. Some of our recent key launches and client wins highlight the success we are seeing in these new areas. During 2018, we launched a significant number of new products, including new thematic indexes that allow investors to get exposure to trends such as cyber security, robotics, the aging society, and efficient energy, a wide range of additional ESNG products , new data modules, such as our USA module targeting specific exposures. The MSCI had a well 30 index as well as several China Index series, and our factor classification standard and factor box, which has already been adopted by 50 clients. In addition to these product launches, we continue to enhance our data and technology delivery model with improvements to our index production capabilities and the release of an important API that improves access to our content and which is fully integrated into our analytics platform. This continual evolution and reinvention is not unique to index, and it has been a key driver of the strong growth we are seeing across all parts of the business. I look forward to providing further updates on future calls. With that I turn the call over to Kathleen.
Kathleen Winters: Thanks Baer, and hello to everyone on the call. I will start on Slide 6. We had a very strong Q4 in finish to the year resulting in 2018 full-year revenue growth of 12.5%, adjusted EBITDA margin expansion of over 200 basis points, and adjusted EPS growth of 34%. In Q4, we delivered solid results across all of our key metrics. Recurring subscription revenue grew 9% in the quarter, ex the impact of FX and 12% ex the impact of FX and divestitures, driven by continued strength in index and ESG up 11% and 32% respectively. As we continue to see particular strength across our newer modules such as custom and factor index modules and the increasing adoption of the ESG into the investment process across client types, geographies, and asset classes. ABF revenue grew 4% and was driven by the strong cash inflows into ETF based on our indexes, growth in the AUM and non-ETF passive funds, particularly from higher fee products and increases in the volume of, exchange-traded futures and options contracts linked to our indexes. This was slightly offset by declines in market levels of the AUM and equity ETF linked to our indexes and a decline in the average basis point fee year-over-year resulting primarily from product mix. Our 2018 expenses were in line with our expectations and guidance. We continue to take a very disciplined approach to expenses and prioritizing investments. Our Q4 expenses reflect our normal run the business type spend as well as additional discretionary activities we executed in the quarter to better position us for 2019. This includes about $5 million of severance, which is more than double our quarterly average. We took actions to optimize our organization and streamline as well as reallocate resources in our client coverage team to better serve some of our fastest growing client segments such as wealth management. We also made strategic investments in our IT infrastructure and marketing activities. We upgraded parts of our IT infrastructure and migrated legacy systems to newer and more advanced technologies to increase productivity. These investments are expected to yield benefits in 2019 such as faster time to market with new product features and increased back-office productivity. Excluding these discretionary investments and incremental severance, our Q4 adjusted EBITDA expense growth compared to Q4 2017 would have been about 4.8% excluding the impact of FX. Moving to Slide 7, let me highlight the key drivers of our adjusted EPS growth. Growth in our core subscription business continues to be driven by exceptionally strong sales and elevated retention rate, and we have not seen any changes to our clients' buying behavior. Adjusted EPS also benefited from the lower share count as we ramped up our repurchase activity to take advantage of the volatility in our share price. Now, let's turn to our segment results on Slide 9. Starting with our index segment, subscription revenue growth was driven by strong demand across all of our sub products, particularly for our custom and specialized indexes and factor and ESG indexes as we see a growing number of investment institutions using indexes as the basis of their investment strategies as well as well as the increasingly mainstream adoption of ESG and factor considerations within portfolio construction. Our analytics segment grew 4% excluding the impact of FX and 10% excluding the impact of FX and the divestiture of our IF & FEA businesses. A key driver of this growth was due to the strength in multi-asset class and equity analytics as well as a large number of client implementations that were completed in the quarter. Additionally, we are very excited about the momentum we continue to see in multi-asset class solutions sales with strong demand for our risk and liquidity analytics, as clients are increasingly focused on sophisticated risk management. In our all other segments, the growth was heavily driven by our ESG ratings, a direct result of our investments in this area. We also continue to make strides in our real estate product segment,00 enhancing client experiences with our new enterprise analytics offering, improvements in data quality, and a new client on-boarding process. Real estate revenue was up 19% versus the prior year excluding the impact of FX. Slide 10 provides a summary of our key operating metrics by segment. Organic subscription run-rate growth was strong across all major client segments and regions; asset owners and asset managers, which together contributed about two-thirds of our subscription run rate were each up 9%. In index, subscription run-rate crossed the $500 million mark for the first time and was up 11%. This growth was driven by demand for custom and specialized modules with run rates growing 22% and 13% respectively. Also, run rates for factor and ESG modules grew by 47% and 48% respectively, as a growing number of clients and client types continue to incorporate factor and ESG considerations into their investment processes. Within the index subscription run rate, our largest client segment asset managers grew 10% as we help them measure performance with broader and enhanced content. We have also had great success with asset owners and wealth managers with subscription run rate growth of 28% and 22% respectively. We continue to drive adoption of our indexes as benchmarks and our indexes are increasingly being used to develop investment strategies. Index recorded at highest quarterly recurring sales ever in 2018 was the first time we had two quarters with recurring sales of more than $20 million resulting in a 19% full-year sales growth. Within analytics, run-rate growth was driven by strength in both multi-asset class and equity products, up 7% and 6% respectively on inorganic basis. Our strength in multi-asset risk and factor analytics coupled with our research-driven content have been a tremendous competitive advantage for us as we close new business. We saw some of the fastest growth with asset managers our largest client segments in analytics , up 7% organically, asset managers well under tremendous industry pressures are turning to our solutions to help them with their risk management and portfolio construction efforts and to drive overall efficiencies within their organizations. Recurring net new for analytics have the second largest quarter in the last decade but was down year-over-year given Q4 2017's record quarter with several large deals closing. Our pipeline remains healthy, and retention remained strong at 93%. On Slide 11, we provide an update on Factors and ESG. In ESG over 50% of new sales in 2018 was driven by new clients to ESG. We have also seen great success with up-selling content to existing clients. ESG demand was strong in Q4 across all client segments and geographic regions, was 21% and 16% subscription run-rate growth in our largest segments, asset managers and asset owners respectively. In factors, AUM in equity ETF linked to MSCI factor indexes grew to $83 billion, up 21% year-over-year, driven in part by increasing usage by wealth management firms. Turning to Slide 12, we highlight the drivers of our asset-based fees in more detail. Overall, growth in ABF revenue has been moderate in the last few quarters. On a full-year basis, we have seen market depreciation reduce AUM in equity ETFs linked to our indexes by 110 billion, driven by a decline in the emerging and developed markets outside the U.S., while cash flows increased AUM by 62 billion. I'll cover this in more detail shortly. In non-ETF passives, our strong institutional investor relationships and coverage efforts are driving a growing number of mandates tied to indexes. In futures and options, run rate broke through $20 million in Q4, and we are excited about the increasing volumes as we work with key partners to drive demand and improve liquidity. We remain confident in the long-term growth prospects in equity ETF. In 2018, we licensed our indexes for 141 new equity ETFs, 79 of which are based on our factor and ESG indexes. Total AUM of these equity ETFs linked to our factor and ESG indexes have grown by 18% versus prior year, bringing the total to $106 billion as of December 31. While favorable long-term secular trends remain intact, we expect headwinds on ABF revenues in first half of 2019 compared to 2018 due to significantly higher equity values last year. In Q4, we saw average basis point fees increase sequentially by 0.02 basis points, primarily due to mix. Although, we saw a modest increase in average basis point fees as a result of strong flows into international exposure in factor funds coupled by market declines in U.S. exposure products. We continue to expect lower fee products to capture a disproportionate share of new flows into equity ETFs. We expect a further decline in our average basis point fee levels as part of our efforts to capture volume and achieved continued run-rate growth. Our ETF partners are continually evaluating their market opportunities for existing and new products as well as the optimal positioning and pricing of those products. As such, we have discussions with all of our key partners about our fees and fee constructs on an ongoing basis. Now, let's turn to Slide 13, where we provide some additional detail on quarterly and yearly net cash flows. Across the global ETF landscape, there was about 400 billion in net inflows into equity ETFs in 2018, down nearly 20% compared to 2017. Earlier this year, investors favored the U.S. markets, particularly in Q2 and Q3; this shifted in Q4 with flows moving back into emerging and developed markets outside the U.S. We benefited from the shift and flows in Q4 and saw significant increase in cash inflows into equity ETFs linked to our indexes. Equity ETFs linked to MSCI indexes are well diversified across strategies and geographies. About 47% of these ETFs have exposure to developed markets outside the U.S., about 30% to emerging markets and the remainder exposed to the U.S. market. We continue to see strength across equity ETFs linked to our indexes and factors and ESG, which contributed to the strong cash inflows that we saw in the quarter and for the full-year. In 2018, equity ETFs linked to our factor indexes captured roughly 38% of the market's cash inflows into factor ETFs; Well, equity ETFs linked to our ESG indexes captured over 80% of the inflows into ESG ETFs. We remain confident in our strength in the market and believe we are well positioned to capitalize on the long-term trends toward index-based investing. Turning to the next session, we provide an update on our capital liquidity and 2019 guidance. On Slide 15, we provide our key balance sheet indicators. In 2018, we repurchased about 6.2 million shares at an average price of about a $148 for a total of $925 million. Since 2012, we have returned nearly four billion of capital to shareholders through both dividends and share repurchases. Turning to Slide 16, let me provide you with our 2019 guidance. I would like to first remind everyone about the vesting in Q1 of the multiyear PSU awards granted to our executives in 2016 that we discussed on our Q3 Earnings Call. These awards will clip best(ph) in Q1 and while the award is accrued over the performance period which is between Q1 2016 and Q1 2019. There will be a related payroll tax upon vesting offset by substantial income tax windfall benefit. The actual impact will be dependent on the share price over the measurement period end on the vesting date. Between the stock price of $140 per share to $170 per share, the payroll tax impact is expected to be between $12 and $15 million. At this range of stock prices, we expect to benefit between 8.5% to 9.5% points to our effective tax rate, which is assumed in our ETR guidance of 11.5% to 14.5%. This vesting will also result in a net cash tax benefit in 2019. As discussed last quarter, we will be excluding the payroll tax expense as well as the income tax windfall benefit for these multi-year awards from our adjusted figures in 2019, given the uniqueness of the size of the grant. The dilutive impact of these shares is already accounted for in our diluted share count. Adjusted EBITDA expenses are expected to be in the range of 685 million to $705 million, an increase of 3% to 6% versus 2018. Please note that we expect our year-over-year expense growth rates versus 2018, to be slightly higher in the first half of 2019, primarily driven by the timing of investments and carryover impact of new hires made in the second half of 2018. Our guidance is a reflection of our balanced and disciplined approach to margin expansion and funding for growth. This approach has paid off as we have seen with higher subscription growth rates and substantial margin expansion over the last few years. We expect to continue to fund high return projects to accelerate top-line growth, and with possibly lower ABF growth in the near term, we may see a slower pace of margin expansion than we have seen over the last few years. Turning to free cash flow, some of our exceptional 2018 cash flow performance was driven by the lower collections at the tail end of 2017 as well as strong collections at the end of 2018. Our 2019 guidance therefore reflects the expected timing of cash collections and the cash tax benefit related to the vesting of the multiyear PSU awards granted in 2016. In summary, 2018 was another outstanding year for MSCI, delivering double-digit top-line growth, healthy margin expansion, record cash flows, and attractive return of capital. Our Q4 and full-year results demonstrate our track record of execution and our ability to deliver substantial shareholder value. Our disciplined approach to funding growth and managing capital have paid off, and we expect to continue to invest in high return projects to drive top-line growth in 2019 and beyond. We believe that the long-term market trends remain very favorable. We are confident in our long-term growth prospects, and we look forward to keeping you updated on our progress. With that, we will open the lines to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Alex Kramm from UBS. You may begin.
Alex Kramm: Yes. Hey, good morning, everyone. Maybe just start on the expense guide a little bit, will be helpful if you can flush this out a little bit more in terms of the puts and takes, how we should be expecting the year to trend. I guess what I'm really asking is, we have seen some of this volatility in the ABS fees, so what are the kind of opportunities to put back if you need to, if the markets work against you and what are you actually assuming right now in terms of the market performance, because clearly AUM is already up more than 6% year-to- date. So, just talk a little bit how you are thinking about expenses in a good or bad environment.
Henry Fernandez: Yes, so let me give you the general direction and Kathleen can comment more specifically on the numbers, if any. Look, I think first of all if we are - we continue to see enormous growth opportunities in our franchise in our business. We started [indiscernible] three years ago looking very heavily, and we found many, many more opportunities that we even expected and have been funding them and growing in them as you see, you know, evidenced in the top line growth. So, we want to continue to do that. With respect to the outlook for this market, we expect 2019 to be with respect to the AUM or at least the passive management part of the AUM. Remember, AUM also has futures and options in there, but what is expected from the passive management part of the AUM, we expect the 2019 to be a flattish kind of year; put maybe be a slight amount of cash inflows going into ETFs and therefore - and the reason is because bear in mind that the developed markets outside of the U.S. and the emerging markets have already beaming highly depressed levels for a lot of 2018. Can they go lower? Sure, they can were lower, but we have estimated that at this point that, you know, they may not, you know, they may not correct much more than that. We do expect significant volatility in the U.S. market, but not a bear market, so we think that there will be a lot of volatility up and down, but not a sustained bear market. So that's what is embedded in our thoughts processes into conclusion of a flat or so, you know, market level with an increasing amount of inflows that they give you a little bit of a positive impact on AUM. Therefore, based on that, our projection and the guidance we are giving you on expenses is around those assumptions and since we don't assume that there will be either a U.S. bear market or a global bear market further than, you know, over the years outside of the U.S., we do not anticipate changing any of the expense numbers as a reaction to volatility in the markets. Now, if, throughout the year, we see a change of those assumptions that is impacting our recession and a bear market is coming, we will wait a bit before we see total evidence of that and we will adjust our expenses. But for now, you should assume that that we are not, you know, that if there is up and down volatility per quarter, we will not be adjusting our expenses.
Kathleen Winters: Yes, so let me just add to that a little bit. It's really important question, Alex; so, thank you. You know, look at the somewhat more challenging planning environment than we had at this point in time last year, challenging planning in terms of more uncertainty in the market with potentially slowing global growth, but you know, as Henry we are very confident in the top-line growth opportunities that we have and so very focused on continuing to fund those growth opportunities. I shared with you the expense guidance at 3% to 6%, and I think you are asking about kind of how you think about that during the course of the year and also how we can flex that up and down if needed. The 3% to 6%, think about it closer to the higher end of the guidance range in the first half of the year and closer to the lower end of the guidance range in the second half of the year. In terms of, you know, should conditions be different than we are expecting our planning right now, I mean flexibility is certainly the key here. We have got a strong franchise, but we certainly need to make sure we have the flexibility to go in either direction, either kind of ratcheting things up or down. And on the downside, that's where our downturn playbook comes in, and we are ready; we are constantly looking at that and ready to go as needed. We have got lots of granularity and numerous, you know, a couple of different tiers of levers in the downturn playbook that we can go to.
Alex Kramm: All right, very helpful. Thank you. And then maybe just secondly, Henry gave a lot of detail around the fourth quarter and the environment, and you know, I was actually positively surprised how good the sales performance was, but just curious if there was anything you could highlight that maybe wait a little bit, I mean clearly the fourth quarter was a - must have been somewhat of a tougher sales environment. So, you know, did anything get pushed at all, were client discussions different? I saw the index retention was down just slightly, I mean almost hard to be negative on that, but like anything where you saw some sort of weakness or anything getting pushed or was it really almost the same as throughout the year.
Henry Fernandez: Really, Alex, it was very consistent. You know, so I think, the type of investments our clients are making with us are typically, you know, fairly infrastructural. They're not the type of thing that is affected by momentary market volatility. So, you know, we didn't see any changes in the normal pattern of business nor did we see evidence that people were freezing anything or anything of that kind. So, you know, very consistent with previous quarters, and you know, exactly as you see reflected in the numbers.
Alex Kramm: All right, very good. Thank you.
Operator: And our next question comes from the line of Manav Patnaik from Barclays. You may begin.
Manav Patnaik: Yes. Thank you. I guess I just wanted to hone in on the cost a little bit more. You know, I think you talked about - you know, you have I guess an ongoing space of expands and investments; on top of that, I don't know if you want to call that fixed cost, variable cost, just to address your kind of downturn playbook like what - can you have break out what those expenses, breakout into just to think about where the levels are, should you need to pull them?
Henry Fernandez: So I think the way we think about it internally has changed the business expanses versus run the business expanses, obviously change the business are investments, not just you know expenses versus run the business. And what we have been able to achieve in the last three years or so is a significant squeezing of the run the business expenses and freeing up of resource to go into change the business. So when you look at our, you know, look at our - our new investment plans for 2019 compared to the prior year in the change the business is up also like 25% as an example. You know that - and we want to continue hammering that; you know, we want to operate as efficiently. We think we still have some ways to go there in creating technology and data sets internally to operate better; obviously, at some point, there are diminishing returns of that efficiency and productivity of running the business. But we keep at it in order to increase the amount of money that we put in the change the business and some of those initiatives are the ones you know, I mean we cannot spend enough on ESG in terms of the expansion of the equity universe of ESG, the continuation of the expansion in fixed income; we still have a lot of runway there. We currently - ratings about 15,000 issuers between equity and fixed income and that's going into a significant number; above that we are - we are getting requests by clients to do ESG ratings in private equities and in real estate and so on and so forth, and so that's an area, obviously, factor investing. We are getting requests for - in not only factor investing in indices but also in factor investing between, you know, - in combining factors on ESG into portfolios into market cap portfolios to sell them, so we have a lot of demand there and we need to fund that substantially. We are getting lot of demand on increasing - or accelerate our development of the MSCI analytics platform, which enables a lot of analytics content. We cannot, you know, - the demand there are pushing us hard into expand and that is more than we can do at the moment or that we can afford to put in there. So there is a tension there going on. We are doing exceedingly well in EMEA, even in the context of our troubled region if you want to think about it, actually EMEA is probably the best region of the world right now for us. We have reorganized dramatically our Asia-Pacific client organization with a lot of new leadership, a lot of new hires, so we are very hopeful that Asia, which was a high growth area could be an even higher growth area and the like, and therefore, I mean we are giving you - we are trying to strike a good balance between the expansion of the margin - the base of expansion of the margin and the funding for growth and all these opportunities that we did cover and that's why you know I want to note again, the comment that Kathleen made or -- comments in terms of the EBITDA expense guidance that we are giving you, which is probably higher in the first half of the year and lower in the range in the second half, but you know the - but we are really intend on not letting the margin expansion accelerate, so in a time in which the AUM goes up we have a lot of projects to fund for growth, obviously we are more focused on the AUM coming down and having a playbook there, but if it goes up unexpectedly, you know we are doing that because we need to fund this significant growth areas. So therefore, as Kathleen indicated you should continue to see a less of an acceleration in the pace of margin expansion.
Kathleen Winters: Just adding on to it a little bit. It's really, you know, really important what Henry mentioned in terms of, you know, we are working really hard to say how do we spend less in the - you know run the business type of spend, so that we can spend more in the change the business type spend. So we really have a great culture of continuous improvement and really kind of amping up the focus on eliminating waste from our process. Right, so as we keep looking at what we do every day; we are constantly looking for opportunities to say, OK, how we automate this to drive productivity, whether it's front office or back office we are doing more and more automation, How do we find opportunities to stop doing things, so we continue to bring down the cost on the run the business side of the house and devoted and dedicated and reallocated to change the business.
Manav Patnaik: Okay, got it. So, maybe just a quick follow-up; the 25% increase in the change the business you talked about; would you say most of that was still in the ESG and factor. I guess what I'm trying to understand is, you know, what could be the next ESG expose.
Henry Fernandez: It's across. We were always running a balance, you know, a meaningful amount of factors a meaningful amounts of ESG, a meaningful amount is also, you know, the analytics platform that we are investing in. We are putting some money into Wealth Management, which is a rapidly growing client segment for a lot of people including us, and we are just on their waiting a lot of our growth there at the moment, we need to do a lot more overtime. Real estate, that's a story that we haven't talked about; we will tell you more about in the Investor Day, but it is really coming nicely; and therefore, that is encouraging us to put a lot more effort into the private asset classes; to think about this way, we have built the MSCI of the public asset classes we want to build the MSCI of the private asset classes. So that's an area, so there are - there is a lot of that is happening in the company.
Operator: And our next question comes from the line of Toni Kaplan from Morgan Stanley. You may begin.
Toni Kaplan: Hi, good morning. How do you think about the active asset management environment over the next year. Do you see things getting harder for your clients, you have a lot of new products to help, you know, get them through challenging times and new products that could help them grow revenue, but at the same time, if it is a challenging environment, you know, budgets could tie-in or maybe it's harder to drive new sales, so just help us think about your outlook on active this year. Thanks.
Henry Fernandez: Sure. I think our, you know, I would say thematically our main focus is on helping our clients be more efficient; so a lot of our tools are helping both within the investment processes of our clients within their infrastructure and looking at the range of information, software, etc., that they use in their investment process and finding ways of making that more efficient and more streamlined. So I think just about everything we do fits into that category, one way or another, but I think that that is the main approach that we are taking, and notably, we are doing that at more senior levels at our clients and we have done historically with the CIOs, the CEOs, et cetera., And working on that in a kind of a holistic manner. So, and I think then the other question is that it may be that a more volatile market while providing challenges and also create opportunities in active management and that's where a lot of our research, etc., comes into help our clients.
Toni Kaplan: Great. And you mentioned on the last call that you are investing in private asset class content. Can you talk about how you view the opportunity and maybe non-traditional areas over the next few years.
Henry Fernandez: Okay, you know, I think it was a clearly our question earlier, what is the next ESG or even bigger than that, and that is one of them, you know, private asset classes. As we know well, private asset classes, particularly the bulk of private asset classes is private real estate of private equities. I mean clearly we have private credit and infrastructure and other aspects but you know, private real estate and private equities are the lion's share around the world, and we are already in one of those which is private real estate; you know, that we haven't talked a lot about as we were reengineering that effort and we want to expand that dramatically. We are trying to find ways into getting into private equities in a much bigger way obviously we occasionally see our clients using our risk models for our private equity investing; obviously, our asset owner clients take it into account in their multi-asset class risk. So, you know, but we are looking into things organically and inorganically, and we believe that, you know, if you look at the global pension funds around the world on an aggregate basis, they have about 14% allocation into private asset classes; that number of a 10 year period can easily be 25% to 30%, and we want to be in that area. Hopefully, many of our clients want to be in that area because that's where the management fees will be as well, but in order to for that location to be that big the industry needs to really - they need an MSCI to achieve that; they need pricing models, they need performance attribution, they need benchmarks, they need understanding of the markets, they need understandings of risk and that's what we want to provide.
Toni Kaplan: That's great. Thank you.
Operator: And our next question comes from the line of Chris Shutler from William Blair. You may begin.
Chris Shutler: Hey guys, good morning. Question, you are pretty frequently from investors is how can MSCI continue to post double-digit subscription growth particularly in index when your active manager clients, which represent a majority of the client base, are under pressure, so just too (ph) curious to get your perspective.
Henry Fernandez: I think the way to think about it is that, you know, when that question gets asked is people are sort of focused on one aspect of our index franchise, which is market capping, this is either developer or emerging markets and sometimes they focus on only one client segment in a particular region of the world, and they think that we need to sort of remind us is that this franchise is being an expanding in which we have a fast growing business in license in factor indices, you know, for our clients, our active management clients. We have large overseas, you know, growth in ESG indices, so you should think of indices as basis of portfolios and therefore - unless we believe that the active management world will have less portfolios, less exposures to, you know, equities around the world, then there is an explosion of benchmark so to speak of underlying basis for building portfolios, you know, on delight. The other thing is that, you know, our job is to help clients build portfolios, you know, one way or another, whether it's a benchmark to actively bid it or a passive of all sorts, you know, whether it's Asia, Europe, the U.S., Latin America whatever. And whether it is ESG or factors or fixed income or equities or whatever and not, but what we are also doing is we rented the kitchen, we are going to clients and say we are building and this is based on this infrastructure, what are you building on and this is on their infrastructure for your own use. So we have a little bit of money coming in that way, but we see that as a huge expansion of our franchise. So that's why this thing is a very multifaceted franchise that can benefit a lot of our clients and generate double-digit growth.
Chris Shutler: Okay thanks, Henry. And then how much of the index subscription growth in 2018 was kind of pricing related and how do you expect 2019 to compare.
Kathleen Winters: Yes, pricing has been pretty consistent if you look at the last couple of years 2016, 2017, 2018; it's been pretty consistent. New sales, it's about - quite around 25% to 30% of new sales each year so, Yes, we are seeing that as a consistent driver.
Chris Shutler: Okay, thanks, Kathleen. And lastly, on the free cash flow guidance 545 to 585, what do you assume for the ETF asset levels, it sounds like pretty, pretty flat average AUM at the midpoint, is that fair? And then what was the free cash flow guide be without any one timers or tax benefits?
Kathleen Winters: So the only one timers there would be the tax benefit. You know, it's large, but it's not a huge number. We had some pretty substantial good guys in 2018, right, and so that's why you are seeing a free cash flow guidance at the midpoint; it is about flat when you look 2018 to 2019. So in 2018, we had weaker 2017 cash that helped us in 2018. We also quite frankly made some really good process improvements and so DSO improved quite substantially in 2018, so I'm just not counting on that same level of change in DSO going into 2019.
Chris Shutler: Down the ETF side, Kathleen, pretty, pretty flat at the midpoint, sounds like --.
Henry Fernandez: Chris, we will follow-up with you offline and then.
Chris Shutler: Okay, thank you.
Operator: And our next question comes from line of Bill Warmington from Wells Fargo. You may begin.
William Warmington: Good morning, everyone. So, a question for you on the analytics piece that you referenced the tough comp, but I wanted to ask - the gross sales were down about 23%, the cancellations were better, and the net sales being down about 19%. Is there any change in the competitive environment, is it becoming more difficult to win clients, anything like that going on?
Kathleen Winters: Yes, so you know, I think you are looking at Q4 comparisons and again we had a couple of really big deals Q4 last year. probably better to look at longer time period than to just isolate a particular quarter. You know, it was about flat, a couple of percentage points year-over-year improvement in 2018, and importantly though really steady strong sales in Analytics each quarter during the course of 2018.
William Warmington: Yes. And maybe just in terms of some further qualitative observations. You know, we have been very consistent in what we are seeing, which is that steady increase in the run rate and also the - I would say the breadth of solutions we are bringing to clients is greater than it's ever been across different client types, different solutions, so we are very - you know, everything that we see today, we think that's just going to carry on. Got it. And then on the wealth management opportunity that you mentioned. Where is the product today versus where you feel you need it to be to compete effectively and what kind of investment do you need to make into that product-oriented distribution to really capitalize on the opportunity.
Henry Fernandez: So we are still at the very early stages of it, just summarizing, and we can talk some more on Investor Day is there are opportunities all over the place; you know, ESG, we license, one of the biggest wealth managers in the U.S. to put ESG ratings into the reports of their portfolios to clients. We see opportunities in index in order to build kind of model portfolios. So if you find a wealth management firm becomes an MSCI shop, they use , our entire out sort of framework to make decisions about allocation of assets we use it in analytics in terms of providing, you know, we may not have the front-end in wealth management, but we feel all the calculations and all the risk associated with the platform that wealth management firms use, so it really is multifaceted and we are only getting started.
William Warmington: Thank you very much.
Operator: And our next question comes from the line of Joseph Foresi from Cantor Fitzgerald. You may begin.
Joseph Foresi: Hi. I guess I wanted to review or ask about opportunities on the M&A front and anything you might be targeting. Obviously, the cash flow has been healthy and you have got some new initiatives ESG, fixed, factor, wealth, private that could move the dial. Are you looking at anything in those areas to the extent you can talk about it, and then how do you feel about M&A, given all the commentary around volatility.
Henry Fernandez: So we always look, you know, click carefully and intensely and have a draconian, discipline and obviously everything has been fairly frothy in the last two-three years. So we have done very little if anything we have been on the opposite side, selling non-strategic parts of our business. We are, you know, and obviously it's going to be very strategic and value added financially for us. You know, we are ringing our hands a little bit that at some point if that volatility continues and increases, there may be certain things that may become more actionable and we will look at them and obviously make the right decisions at that time. So, with that increase in volatility you are mentioning, maybe opportunities present themselves, but it's too early to tell, right; we only had a few months of volatility.
Joseph Foresi: Got it. And you talked earlier about, I think it was five million of adjustments that you made which is the largest, I think you pointed out quite some time. Can you just talk about where those adjustments were being made and maybe strategically how they fit into the plans and where you really sort of reducing, I guess, efforts or investments. Thanks.
Kathleen Winters: Yes, so I think you are referring to the $5 million of severance in Q4, and it was somewhat kind of broad-based, but in particular, I would say it's, you know, for the most part some reductions in analytics and coverage and quite frankly in functions, so really just looking at every single part of the organization and looking at how we streamline and reorganize and reallocate resources to - in the most efficient we can.
Joseph Foresi: Okay. Thank you.
Operator: Thank you. And our next question comes from the line of Henry Shein from BMO. You may begin.
Henry Shein: Hey guys, just. Thanks. Just a question on sort of demand you are seeing for factor and ESG; it sounds like that has been quite robust despite the challenges that you spoke about - or some of the questions spoke about on the active side. I'm just curious how is - I guess at a high level, how is this data being use most as like an informative source or is there something going on in terms of this data being used in the investment process beyond just passive management.
Henry Fernandez: No, it's pretty fundamental. I mean on ESG, the way to think about it is sustainable investing in a shrinking world of information and demands for society about environmental controls and social norms on governance of companies, so the ESG is really across, you know, from exclusions, you know comp - a lot of investors don't want to invest in certain companies, so we have a big service to give them the list of those companies based on criteria to the ratings per company and issuers, you know bond issuers. you know to the creation of indices for the basis of portfolios, either active or passive and to the inclusion of ESG and risk factors to understand the risk of portfolios; unknown factors is similarly, you know, obviously the creation of factors portfolios for the ETF as an example, 70 plus billion dollars or I think 80 plus billion dollars of ETF right now at MSCI or more than 10% of the total AUM is on factors, and you know. The factors, you know one of the areas that we are focused on is how we have helped active managers incorporate factors in what they do and report to their clients; equity long-short hedge funds are being asked by their clients to report unknown factor lines as well and make investment decisions among factor lines; you know a lot of institutional asset owners have been allocating funds into factor passive allocations directly and we have been working with them and showing them the benchmarks as all across the board.
Henry Shein: Okay, got it. Okay that makes sense. Okay, that's very helpful. Thank you.
Operator: And our next question comes from the line of Hamzah Mazari, Macquarie Capital. You may begin.
Hamzah Mazari: Good morning. Thank you. My first question is just on fee pressure versus volume trade-off; you mentioned that's favorable right now, but it is there a point where it becomes unfavorable either you are not willing to go below a certain margin or is it a basis points that we should look at; any thoughts as to, you know, you know when that trade-off changes. Is there any trigger for that or it's sort of just tough to have visibility there.
Henry Fernandez: I think we have been, you know, very consistent on this topic on the calls over time. You know, we have seen a, what we call natural pattern that has manifested itself in the numbers over time. We don't see anything that's really at all different, you know, this quarter. We have no evidence of that changing, so, really, it's just - I'm afraid just a repetition of what we said before; it's directional, it's steady, and we don't see any dramatic change in that right now.
Hamzah Mazari: Got it. And just a follow-up; in your prepared remarks, you had mentioned around investment spend certain bigger strategic bets. Would you size up what you consider large strategic bets and is M&A specifically part of that or were you just talking organic. Thank you.
Henry Fernandez: I was referring to organic; at this point, M&A is totally sort of, you know, opportunistic; either it comes or it doesn't, so you cannot plan around it or talk about it that much organically. You know, look, we are on their funding, you know, the analytics platform that should be needed for the enabling of our content, so that's an area that will require more funding over time. Given the request by clients, we could be spending a lot more on ESG in order to put more sales people to have more consultants with our clients to have more coverage of the universe is, as I said, we are getting to a good level of ESG ratings on equity issuers. We are still low on the fixed income side; we need to ramp that up, and we are getting demand on private companies and on real estate assets and the likes, so that's a big opportunity that needs funding; you know the real estate itself needs funding, you know given that we are beginning to succeed there. So, there are lot of area funding on the geography, we're still not punching at the weight, that we want to punch in Asia, for example, that's a huge opportunity that we have done well but it could be a lot bigger and that's why I want to reiterate that we give you guidance this is what we plan to do. But over time, it is very important to recognize that the rate of growth of the EBITDA margin that we have seen in the last four-five years is going to decelerate because we see enormous growth opportunities; you know to fund that growth and the balance we are trying to strike is incremental growth or additional growth over and above what we are doing or expansion of margin. I think you will want us to do the former of goal for those opportunities on funding.
Hamzah Mazari: Okay. Thank you so much.
Operator: And our next question comes from the line of Craig Huber from Huber Research Partners. You may begin.
Craig Huber: Yes, good morning. I have a couple of questions, First wanted to dig in a little bit deeper on this impressive 9.7% organic growth you have in the analytics here. If you adjust for foreign exchange is obviously two to three times your historical growth rate in that area. Can you just flush out for us what you are doing differently there to help drive the growth at that level?
Baer Pettit: Sure. So, you know, one sort of long-term story or multi-year story is it has been, you know, enhancements in all of our analytics content, notably in fixed income, which has really created opportunities for us. The other point I would make is related to the answer I gave to the active manager question which is, you know, we find that our clients have enormous need for better tools, greater efficiency in their infrastructure, removement of duplication, consistent way of looking at risk and return, et cetera. So it's precisely to a degree at least this environment that can be challenging for asset managers and for other parts of the investment process that leads them to want to have high quality tools that are consistent across their firm, and this is really what is the main theme driving this growth.
Kathleen Winters: Yes, so let me just add on to what Baer was saying here. In addition to that, you may recall in the prepared comments, we mentioned that we had a lot of implementation coming to completion in the quarter, so that helped the revenue growth rate as well. So you can see, that's a little bit higher than the organic run rate, which has been running at about 7% for five quarters in a row now.
Craig Huber: Thank you for that. Also, if I could ask the cost growth sequentially in the index business up, you know, roughly $5 million, and it's pretty similar versus the first two quarters, you obviously severance was part of that; if you took out severance, how much would the index costs have been up versus the first, second, and third quarter.
Kathleen Winters: Yes, that's a little bit of - I don't have the specific number ex-severance, I mean, there's a little bit from severance, it’s really continued investment and funding for growth, particularly as we fund for product development and technology.
Craig Huber: Okay. My last question, I would like to sneak this in, historically --
Henry Fernandez: Actually, we apologize. Can you limit it to two questions, you know…
Craig Huber: Alright, guys. Thank you.
Henry Fernandez: We will follow up with you, appreciate it.
Craig Huber: Thank you.
Operator: Thank you. And our next question comes from line of Keith Housum from Northcoast Research. You may begin.
Keith Housum: Good afternoon, thanks for opportunity to ask question here. I'm just real quick in terms of the personnel. Over the past several years, you guys have taken advantage of the opportunity to move personnel from developed markets to emerging markets. Is there still opportunity there further or has that kind of played itself out.
Henry Fernandez: No, for sure we want to keep moving that higher. There is a point that oversee you start reaching diminishing returns. You still need - you know people in sales, for example, to be in front of clients in developed markets and the like. But as mentioned before in this efficiency and productivity drives inside the company to lower the cost of running the business, we are investing in data and technology internally to run the business and that would allow us to continue to increase the ratio into our into our talent centers in emerging markets. So there will be more of that but not on the same basis it was, you know, five years ago.
Keith Housum: Okay, thank you. And then Kathleen, this is a quick follow-up. In terms of the stock options you guys expect in the first quarter and net cash basis how much cash do you guys expect that's originate.
Kathleen Winters: Do you mean the vesting of the cash impact of the vesting.
Keith Housum: Correct. No the payroll taxes.
Kathleen Winters: Yes, as I said, you know, if you look at the you $140 to $170 share the payroll tax impact is about $12 to $15 million, but it's a net cash benefit when you include the tax benefit from the SBC windfall.
Keith Housum: All right, thank you.
Operator: Okay. And our next question comes from the line of Hugh Miller from Buckingham, you may begin.
Hugh Miller: Hi, I know your are running over time, so I will just be quick. First, just a housekeeping one wanted to confirm that you guys had mentioned in the prepared remarks that there is no change in the share count expected from the vesting of the PSUs for 2019.
Kathleen Winters: That's correct. It's already reflected in the diluted share count.
Hugh Miller: Yes. Great. And then the second question just on - you know as you think about kind of trying to get the analytics business up to the growth targets you have for the top line and the strategic investments you are making; you know, are we thinking about this or should we be thinking about this in terms of just slower margin growth on a go-forward basis or is there the potential that you could be accelerating growth, you know, and see compression in the near term in order to get that acceleration for that business.
Henry Fernandez: No, we for sure would like not to accelerate the margin, although it has been happening despite our efforts in order to fund the growth needed to increase the growth of product line significantly.
Hugh Miller: Got it.
Henry Fernandez: Just one clarification on your prior question. There will be a modest decline in the share count when those multi-year awards vest. We will withhold shares, and we issue the awards, and that those withholdings of shares will reduce the share counts lately.
Hugh Miller: Perfect, thanks for the clarification. Thank you.
Operator: Thank you. And I would like to turn the call back to Andrew Wiechmann for closing remarks.
Andrew Wiechmann: Thank you all for joining us today. As always, please feel free to reach out with any additional questions. We look forward to keeping you posted on our progress and look forward to seeing many of you at our Investor Day in a month. Thank you again and have a great day.